Operator: Good morning, and welcome to the IDEXX Laboratories First Quarter 2022 Earnings Conference Call. As a reminder, today's conference is being recorded. Participating in the call this morning are Jay Mazelsky, President and Chief Executive Officer; Brian McKeon, Chief Financial Officer; and John Ravis, Vice President, Investor Relations.  IDEXX would like to preface the discussion today with a caution regarding forward-looking statements. Listeners are reminded that our discussion during the call will include forward-looking statements that are subject to risks and uncertainties that could cause actual results to differ materially from those discussed today. Additional information regarding these risks and uncertainties is available under the forward-looking statements notice in our press release issued this morning as well as in our periodic filings with the Securities and Exchange Commission, which can be obtained from the SEC or by visiting the Investor Relations section of our website, idexx.com.  During this call, we will be discussing certain financial measures not prepared in accordance with generally accepted accounting principles or GAAP. A reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures is provided in our earnings release, which may also be found by visiting the Investor Relations section of our website.  In reviewing our first quarter 2022 results, please note all references to growth, organic growth and comparable growth refer to growth compared to the equivalent period in 2021, unless otherwise noted. [Operator Instructions]. I would now like to turn the call over to Brian McKeon.
Brian McKeon: Good morning, and welcome to our first quarter earnings call. Today, I'll take you through our first quarter results and review our recalibrated financial outlook for 2022.  IDEXX delivered solid financial performance in Q1 compared to very strong prior year results. In terms of highlights, revenue increased 8% as reported and organically driven by organic gains of 10% in our CAG business and 8% in our water business. CAG Diagnostic recurring revenues increased 9% organically compared to higher prior year levels, which included benefits from a significant expansion in new pet patients during the pandemic.  Our commercial execution was excellent, reflected in 22% organic growth in CAG instrument revenues and continued strong momentum in expanding cloud-based software solutions. EPS was $2.27 per share, up 3% on a comparable basis. As expected, comparisons to high prior year gross margin levels and increased commercial investments constrained year-on-year operating profit gains in the quarter.  CAG Diagnostic demand levels and IDEXX commercial execution continue to build on the significant step-up achieved during the pandemic, supported by ongoing gains in diagnostics adoption and utilization. We have seen a moderation in clinic visit levels compared to second half 2021 growth trends, which form the basis for our original 2022 CAG Diagnostic recurring revenue organic growth outlook of 12% to 14%. In the U.S., in addition to early Q1 impacts from higher COVID cases globally, visit levels have been affected by constraints on veterinary service capacity and availability in a challenging labor market, following a period of significant demand expansion.  We saw similar COVID and capacity constraint dynamics in international regions like Europe with additional recent impacts for more challenging macro conditions, which have also constrained clinical visit growth compared to strong prior year baselines. Factoring in our Q1 results and near-term CAG sector trends, we're recalibrating our 2022 full year organic revenue growth outlook. We're adjusting our overall organic growth outlook to 7.5% to 10%, primarily reflecting an adjustment of 3% in our targeted full year CAG Diagnostic recurring revenue growth range, now projected at 9% to 11% compared to strong prior year levels.  We're also factoring in an additional $40 million impact from the strength in U.S. dollar. Combined, these changes reduced our reported growth outlook by 3.5% or approximately $105 million at the midpoint of our guidance range. We believe these adjustments are appropriate as we work through near-term CAG sector dynamics and more challenging comparisons in the first half of 2022. We're targeting higher growth in the second half of 2022, with the high end of our full year growth outlook reflecting return to our original targeted CAG Diagnostic recurring revenue growth range in H2.  We continue to be encouraged by the increased demand for Companion Animal diagnostics globally building on the strong gains achieved during the pandemic. We're confident in the sustained long-term growth potential for our business, supported by our ongoing focus on innovation and customer engagement and driving CAG sector development. Aligning with this conviction, we're advancing high-return investments in innovation and commercial capability this year, including approximately $80 million in discrete investments related to the in-license of technology during the second quarter, which Jay will discuss in his remarks.  Our 2022 EPS guidance of $8.11 to $8.35 per share factors and updates to our operating outlook, including $0.72 of discrete impact from the in-license of technology, as well as a $0.10 per share adjustment related to the stronger U.S. dollar and $0.05 of EPS impact related to higher interest rates. We'll discuss our full year outlook in more detail later in my comments.  Let's begin with a review of our first quarter results. First quarter organic revenue growth of 8% was supported by 10% organic gains in our CAG business and 8% growth in our Water business. These gains were moderated as expected by a 19% organic decline in LPD revenues, which included impacts from reduced African swine fever testing in China, as well as by a $3 million year-on-year decline in human COVID testing revenues. Combined, these factors reduced overall IDEXX organic revenue growth by approximately 1% in the first quarter. Comparisons on both these fronts will improve in the second half of 2022.  CAG Diagnostic recurring revenues increased 9% organically in Q1 compared to strong prior year levels, reflecting 10% gains in the U.S. and 8% growth in international regions. First quarter CAG Diagnostic recurring revenue growth benefited by approximately 1% from equivalent day effects. Overall Q1 CAG gains were also supported by 22% organic growth in CAG instrument revenues and 13% organic growth in veterinary software and diagnostic imaging revenues, in addition to benefits from the ezyVet acquisition.  In terms of U.S. CAG sector demand drivers, same-store clinical visits in the first quarter were approximately 2% below strong prior year levels. This compares to 2% to 3% increases seen in the second half of 2021 when we began to lap the step-up in demand -- in testing demand that we saw during the pandemic. As noted, a factor influencing these trends is a near-term challenge related to capacity management of vet clinics that we've seen across global regions, which has resulted in constraints on clinic hours and access to veterinarians. Jay will speak more to these dynamics in his comments.  At the U.S. practice level, same-store diagnostic service revenue growth was a solid 7%. Underlying demand for pet health care services remains high, reflecting a robust multiyear growth trends. Compared to the 2019 pre-pandemic base, U.S. same-store clinical visits and diagnostic revenues increased 4% and 11%, respectively, on a 3-year compound annual growth basis.  IDEXX's U.S. CAG Diagnostic organic recurring revenue growth of 10% in Q1 continues to outpace sector growth trends, reflected in a 1,150 basis point premium to clinical visit gains, in part supported by relatively higher net price realization and equivalent day benefits. Globally, IDEXX achieved solid organic revenue gains across our modalities in the first quarter. VetLab consumable revenues increased 11% organically with double-digit gains across U.S. and international regions. Consumable gains were supported by 14% year-on-year growth in our global premium installed base, reflecting double-digit gains across our Catalyst, premium hematology and SediVue platforms. CAG premium instrument placements increased 31% in Q1, reflecting 24% gains in the U.S. and 35% growth internationally, as clinics show confidence in investing towards support of increasing demand for diagnostics globally.  The quality of instrument placements continues to be very strong, reflected in 12% growth in new and competitive Catalyst placements. ProCyte One momentum continues to build, supporting 1,924 premium hematology placements in the quarter, up 101%. Rapid Assay revenues expanded solidly in Q1 compared to high prior year growth levels. Global Rapid Assay revenues increased 8% organically, supported by solid volume gains in the U.S. and benefits from net price increases. Global lab revenues increased 8% organically in Q1 as double-digit growth in the U.S. was moderated by low single-digit gains in international regions impacted by pressure on clinical visit levels in Europe.  Reference lab new business momentum and customer retention remains strong globally, supported by expansion of IDEXX 360 agreements. We achieved relatively higher benefits from net price gains in the first quarter, with 4% to 5% average gains on U.S. CAG Diagnostic recurring revenues and solid levels of increases across international regions. In other areas of our CAG business, veterinary software and diagnostic imaging revenues increased 13% organically and 34% on a reported basis, including benefits from the ezyVet acquisition. Results were supported by double-digit organic gains in recurring software and digital imaging revenues and continued strong momentum in cloud-based software placements.  Water revenues increased 8% organically in Q1, reflecting benefits from price gains and a continued solid global recovery in testing demand from constrained pandemic levels. Livestock, poultry and dairy revenue decreased 19% organically in Q1. As expected, tough comparisons to high prior year revenue levels for African swine fever and core swine testing in China, offset moderate overall organic revenue gains in other areas of our LPD business. We expect to see relative improvement in LPD growth rates in the second half of the year as we work through challenging comparisons in the Asia Pacific region.  Turning to the P&L. Solid revenue growth supported moderate operating profit and comparable EPS gains compared to high prior year levels. Gross profit increased 6% in Q1 as reported and 7% on a comparable basis. Gross margins were 59.6%, a decrease of 120 basis points on a comparable basis. Comparable gross margin declines reflect the lapping of high Q1 2021 levels, business mix impacts from lower LPD and higher CAG instrument revenues and impacts from higher freight and distribution costs. CAG recurring revenue, net price gains and lab productivity initiatives helped to offset select inflationary impacts.  We're also seeing benefits from improvement in software service gross margins as we expand our recurring revenue base. Operating expenses increased 12% year-on-year as reported in the first quarter and 13% on a comparable basis. Higher operating expense growth reflects comparisons to controlled prior year levels, as well as investments advanced in recent quarters related to our expanded global commercial capability. We also saw relatively higher travel costs compared to low prior year levels. We expect relatively higher year-on-year comparable OpEx growth in the second quarter as we lap these impacts, in addition to the second quarter impacts projected from discrete R&D in-license activity.  EPS was $2.27 per share, an increase of 3% on a comparable basis. Q1 EPS included benefits of $5 million or $0.06 per share related to share-based compensation benefits, which was down $0.11 per share from high prior year group levels. Foreign exchange reduced operating profit by $4 million and EPS by $0.03 per share in Q1, net of $2 million in hedge gains. Free cash flow was $83 million in the first quarter. On a trailing 12-month basis, our net income to free cash flow conversion rate was 84%. For the full year, we now estimate free cash flow conversion of 65% to 70%, approximately 10% below earlier conversion estimates. This outlook reflects approximately 5% of free cash flow conversion impact from the discrete R&D investments, modestly higher inventory levels to sustain high levels of product availability and higher deferred tax assets driven by increased R&D credits. We're maintaining a consistent full year outlook for capital spending of $180 million, including approximately $50 million for our new manufacturing and warehouse expansion project.  Our balance sheet remains in a strong position. We ended the quarter with leverage ratios of 1.1x gross and 0.9x net of cash. We allocated $273 million of capital to repurchase 523,000 shares in Q1. Our financial outlook assumes capital allocation to share repurchases aligned with maintaining a similar net leverage ratio, supporting a projected 1.5% full year reduction in share count.  Turning to our 2022 full year outlook. We're updating our organic revenue growth ranges to reflect Q1 performance, recent CAG sector trends and projected impacts related to the Ukraine War. We're also adjusting our reported revenue growth outlook for the significant recent strengthening of the U.S. dollar. Our updated full year revenue growth range of $3.39 billion to $3.465 billion reflects a $105 million reduction at midpoint compared to earlier estimates. This includes $10 million of projected revenue reductions related to our Russia, Belarus and Ukraine businesses, and a $40 million adjustment related to the recent strengthening of the U.S. dollar. We now project foreign exchange will reduce year-on-year revenue growth by approximately 3% for the full year, with approximately 4% of year-on-year headwinds expected in Q2.  Our full year organic revenue outlook of 7.5% to 10% reflects an adjustment to our original guidance range of 2% to 2.5%, primarily reflecting a recalibration of our full year growth outlook for CAG Diagnostic recurring revenues. We're planning for overall organic growth at the lower end of this range in the first half of 2022, reflecting more recent CAG sector trends and challenging comparisons in the second quarter. We're targeting improved growth rates in the second half of 2022 as vet clinics work to adapt to capacity challenges, and we benefit from our commercial initiatives.  Our recalibrated CAG Diagnostic recurring revenue growth outlook is 9% to 11% for the full year, building on strong prior year gains. As noted, the high end of our full year growth range reflects second half CAG Diagnostic recurring revenue growth aligned with our original full year goals.  At our updated revenue growth rates, we're now planning for operating margins of 26.8% to 27.3%, down 170 to 220 basis points on a reported basis compared to strong 2021 performance. This includes approximately 230 basis points of margin impact related to the discrete R&D investments. This outlook incorporates effects from high-return commercial investments aligned with our long-term growth potential and captures projected inflationary effects on IDEXX's business this year.  Adjusted for the discrete R&D investments and approximately 10 basis points in year-on-year net margin benefit from foreign exchange hedges, this outlook reflects updated goals for 0 to 50 basis points in operating margin gains in 2022 compared to strong prior year levels. Our EPS outlook is $8.11 to $8.35 per share, a decrease of $1.20 at midpoint. This includes $0.72 of impact from discrete R&D investments, an additional $0.10 per share headwind related to foreign exchange and $0.05 per share of impact from higher projected interest rates. Our guidance for comparable EPS growth of minus 1% to plus 2% includes unfavorable growth impacts of 9% from the discrete R&D investments, and an estimated 2% impact in 2022 from international tax rate changes.  We provided details on our updated estimates in the tables in our press release and earnings snapshot. That concludes our financial review. I'll now turn the call over to Jay for his comments.
Jonathan Mazelsky: Thank you, Brian, and good morning. IDEXX had a solid start to 2022, building on significant gains in demand for companion animal diagnostics and software solutions achieved over the last 2 years. Veterinarians continue to see increased demand in their clinics compared to pre-pandemic turns and routinely choose IDEXX' innovative products and services to meet rising standards for pet health care. This is reflected in our continued solid CAG Diagnostics recurring growth and record Q1 global premium instrument placements, supported by our global rollout of ProCyte One. IDEXX' business strategy is focused on inspiring adoption and increasing the utilization of diagnostics, and our results reflect continued strong progress on this path.  Our integrated solutions not only help veterinarians expand capacity and grow their businesses, but also support an enduring recurring revenue stream in the future. While we've seen some moderation in CAG sector growth metrics from very strong growth levels during the pandemic, we have high confidence in the durability and ongoing growth potential of our business, and our strategy to drive the significant long-term growth opportunity we see for companion animal health care. Today, I'll focus on discussing IDEXX's performance and progress in advancing key growth initiatives that are enabling us to build on our strong growth and financial performance as we serve our mission-driven purpose of enhancing the health and well-being of pets, people and livestock.  Let me start by providing some context on recent trends in the CAG sector. Overall, CAG sector demand trends continued to expand at a solid rate, building on the very strong increases in diagnostics demand seen through the pandemic. As Brian noted, U.S. practice same-store diagnostics revenues increased 7% in the first quarter compared to very strong prior year results. IDEXX's growth strategy has been consistently focused on driving diagnostics adoption and utilization at the clinic level, supported by our investments in commercial engagement and innovation. First quarter results show continued progress on this front.  We've provided some additional information in our quarterly snapshot, which breaks down practice level diagnostics revenue growth dynamics into 3 key drivers: clinical visit growth; diagnostic frequency, or the percentage of clinical visits, including diagnostics; and diagnostics utilization, or diagnostics revenue per visit that include diagnostics. This breakdown highlights benefits for both continued solid increases in diagnostics frequency and expanded growth rates in diagnostics utilization ahead of pre-pandemic levels, building on a very strong gain seen over the last 2 years.  These impressive gains were moderated in Q1 by a 2% year-on-year decline in clinical visits, which is a change from the very solid 2% to 3% clinical visit growth trends we saw in the second half of 2021. As we've analyzed these recent changes, it appears that in addition to some effects from COVID case spikes and weather dynamics in the first quarter, there are near-term constraints on vet clinic capacity that are impacting clinical visit levels.  Veterinarians and their staffs are continuing to adapt to the extraordinary growth in demand over the last 2 years when the U.S. pet population expanded, approximately 10%, resulting in double-digit increases in same-store clinical visit levels, reflective of the sustained pressure on their time as well as staffing challenges that many sectors are facing currently. Pet clinics have scaled back hours. The metric we can track is the percentage of clinics with weekend appointment activity, which declined to 42% in Q1 from 54% levels pre-pandemic, as clinics and vet themselves are looking to achieve more near-term balance in their workloads.  As many pet owners wait longer to secure appointments, underlying demand for pet health care remains strong. But these factors have had the near-term effect of moderating the extraordinary growth pace we've seen in the CAG industry over the last 2 years. We've seen similar dynamics in international regions like Europe in terms of clinical visit levels, with some additional pressures potentially related to the more recent macro headwinds.  Given the near-term clinical visit and macro dynamics noted, we felt it was prudent to recalibrate our 2022 outlook. Our full year outlook for CAG Diagnostics recurring revenue organic growth of 9% to 11% builds on our 17% average annual growth over the last 2 years, with goals to accelerate gains in the second half of 2022 benefiting from continued advancement of our commercial and innovation efforts.  The longer-term outlook for pet health care remains very strong, benefiting from increases in pet ownership, favorable demographic trends and the continued strengthening of the pet and pet owner bond. IDEXX is well positioned to drive sector growth and help customers service growing demand through our broad array of point-of-care and reference laboratory products and services, all connected by cloud-based software capability, which supports clinic efficiency and workflow enhancements.  The IDEXX team is focused on driving this potential and continues to operate at an exceptional level. This is reflected in continued solid new business gains, record instrument placement levels, high growth in software services and the continued very high levels of customer satisfaction reflected in record high retention models. Our high-touch customer commercial model and innovative diagnostics and software solutions positions us well to help customers work through near-term management challenges to extend the strong growth momentum in our business. Let's discuss some recent progress on these key strategic fronts.  High levels of commercial engagement that supports sector growth remains a pillar of our growth strategy, and we continue to build on our leading commercial capability globally. As noted, we continue to drive strong performance in terms of new business acquisition, with solid net customer gains across modalities and regions. Our highly skilled commercial teams delivered outstanding premium instrument placement performance in Q1 across our platforms, supporting strong growth in our EVI metric in the quarter. We achieved strong growth overall across new, competitive and loyal customer segments as well as within corporate accounts, as veterinarians are clearly looking to use IDEXX technology to manage elevated demand within their clinics. And despite highly variable access levels globally, our sales teams demonstrate that they have strong and trusting relationships with their customers, regardless of clinic type and a keen ability to meet customer needs with IDEXX products, each of which are driving strong customer retention and healthy global installed base growth.  This momentum has been supported by the strengthening of our commercial capabilities in international regions. We're encouraged by the early performance measures like reach to customer and reach to revenue from our recently completed international country expansions. These include Germany, France, Spain, South Korea, Italy and Brazil, while it had smaller targeted investments in our commercial capabilities to complement these efforts as opportunity warrants, including in our largest region in the U.S. Commercial expansions are supported through our center of excellence approach, which enables efficiency, speed of execution and high return on our investments.  Innovation is a critical enabler of our growth strategy. And key advancements such as ProCyte One, IDEXX's innovative and easy-to-use hematology analyzer, continues to gain momentum and provide multiplier benefits for our business. Just 1 year after its launch, ProCyte One is now commercially available around the world and has a global installed base of almost 4,000 units, demonstrating the power of the right product in the hands of a dedicated commercial sales force. This trajectory aligns our premium hematology business with the approximately 20,000 placement outlook we shared at our most recent Investor Day, and utilization rates are trending favorably for customers upgrading from [indiscernible] side. ProCyte One attach rates with Catalysts are high in the mid-90% range, highlighting the multiplier benefit to our broader point-of-care business. This innovative hematology platform is a key enabler to support penetration of our estimated 200,000 worldwide premium instrument placement opportunity.  Another key advancement in our innovation agenda is 4Dx Plus, the gold standard diagnostic for vector-borne disease in canines, which will provide customers with benefits from multiple product enhancements this year, including the more sensitive end-of-plasma detection, clinical decision support and USDA approval for 2x longer room temperature storage for our point-of-care test SNAP 4Dx Plus. It's an example of IDEXX's whole product approach of enhancing assay performance, workflow and clinical decision support. Additionally, the SNAP Pro analyzer, which has had excellent momentum in global placements during Q1, improves clinic workflows by seamlessly adding test results through our powerful diagnostics portal VetConnect PLUS, and ensuring charge capture of all tests run through of the instrument. These innovative products help our customers improve clinic efficiency and supported solid growth in our rapid assay franchise in the first quarter as we saw seasonally aligned increases in demand for tick-borne disease testing.  As we capture near-term benefits from our existing innovations with customers, we continue to advance our long-term innovation agenda as well. As noted in our financial guidance update, we made investments with 2 companies, the in-licensed technology for worldwide exclusive use in developing point-of-care diagnostics platforms and applications. IDEXX has a long track record of partnering with companies to apply technology that enhances the quality of pet health care. We look forward to sharing more on these initiatives in the future as we build on our compelling real-time care portfolio.  Another key area of strategic focus for IDEXX involves delivering whole product software solutions that address a broad jobs-to-do capability within a single platform. Our PIMS solutions, along with Vet Radar and payment processing solutions, VetConnect PLUS, with clinical decision support and Web PACS, are all increasingly interconnected, offering our customers a seamless experience across the inland productivity applications. Consequently, our customers purchased more of these applications in Q1 than in any previous quarter. We also had record global placements with over 350 PIMS installations, with the vast majority of customers choosing a cloud-based solution. Notably, we made significant headway in outfitting greenfield practices that the IDEXX is a key partner as they establish and equip a new clinic.  With many customers capacity constrained, veterinarians have a significant investment appetite for modern, mobile and well-integrated cloud-based software technology. These software solutions allow our customers to focus on providing care instead of maintaining technology. With our recent acquisition of ezyVet and as preference for cloud-based solutions accelerate, our software revenue base continues to move towards a highly profitable recurring revenue stream.  As we advance our commercial and innovation capabilities, we are highly committed to sustaining outstanding levels of customer support, reference lab service turnaround time and product availability enabled by our highly capable operations organization. The manufacturing and supply chain capabilities that we built over multiple decades allow us to support our busy customers and keep up with the strong growth in industry demand, while managing through a dynamic supply chain environment. IDEXX customers benefited once again from product availability close to 100% and continuously high levels of on-time deliveries. These excellent service metrics demonstrate the benefit of our long product life cycles and deep supplier relationships, as well as our investment in highly skilled manufacturing centers. And while we continue to monitor the impacts of inflationary dynamics in regional COVID-19 outbreaks, we feel confident in our ability to build upon strong financial performance, as Brian outlined in our full year financial outlook.  In concluding our first quarter review, I'd like to welcome Michael Johnson to IDEXX as our new Chief Human Resources Officer. Michael brings over 22 years of experience in developing HR leadership capabilities across multiple disciplines and geographies, most recently at Abbott Laboratories, where he was Divisional Vice President of Diversity and Inclusion. The Chief Human Resources Officer role is a key enabler of our long-term growth strategy in supporting employee engagement, talent development and organizational effectiveness, and we look forward to Michael's leadership and continually advancing our initiatives and performance in these areas. Welcome, Michael.  This concludes our review of our first quarter performance. Before opening the line for Q&A, I want to extend our deepest sympathies to the people of Ukraine as the escalating war has taken a devastating toll on people and pets in the region. As a purpose-driven company, we strongly condemn the invasion and violence there. We have been focused on supporting our customers, the health and safety of our employees in the region and true to the heart of IDEXX, the pets that are part of their families. We have significantly scaled back operations in Russia, including suspending sales of veterinary diagnostic equipment in the country. Instead, our focus has been on supporting the essential care of pets to the extent that we can through our existing veterinary customers.  To support the humanitarian needs of the region, we have leveraged the IDEXX Foundation to provide funding to the International Medical Court, the World Central Kitchen and the International Fund for Animal Welfare, while also providing free rabies tests for displaced Ukrainian pets all over Europe. Going forward, we will monitor the situation to identify the additional ways to support Ukrainian refugees and their pets. I would like to thank our employees around the world who have taken part in the IDEXX Foundation Matching program to make personal donations to these organizations.  With that, we will turn to Q&A.
Operator: [Operator Instructions]. And our first question is from Chris Schott from JPMorgan.
Christopher Schott: On this issue of vet constraints, it seems like we've been hearing about this issue for much of the pandemic. So I'm just trying to get a better understanding of kind of what's changed in 2022 where this is now starting to kind of back up into your revenue guidance, its starting to hit numbers a bit more. So I'm just trying to understand, just finally hit a breaking point where the vets just can't sustain what they've been doing?  And maybe as a second part of that same question, what do you think it will take to start to see visit growth normalize? Do we need to just take a little bit of a pause here for some of these vets who need to hire people? I'm just trying to get a sense of just what's the path forward to see growth start to normalize.  And then maybe just slip in one other one and some of the same kind of topic. Is the slowdown you're seeing here completely that capacity related? So if there were more slots for visits that there'd be demand for that? Or is there also some elements of lower demand reflected in the guidance today?
Brian McKeon: Thanks for your question, Chris. Maybe I can set some context and Jay can provide more color. On the clinical visit trends, which we've highlighted really were the main change that's going on here that would cause us to kind of recalibrate our outlook this year, we started lapping the step-up in demand in the pandemic in the second half of 2021. And that was flowing through the benefits of the pet additions and the big increases in services and diagnostics that we saw through the pandemic. And the clinical visit levels were up solidly in H2. So they were growing 2% to 3% off that higher base.  And so this is a relatively more recent dynamic. I think Jay can go into this more in color, but it's clearly a significant factor here is the vet capacity. I think that there is a trying to adapt following, a significant expansion of the demand in the industry and just dealing with some of the labor dynamics that many sectors are dealing with in the near term. And we're still working through these tough year-on-year compares. I think that will continue through the first half of this year in terms of the step-up. So that is the primary factor.  Other dynamics that are going on here are all incredibly positive. I think our -- at the clinic level, diagnostic frequency and utilization is up. The service, focus on services, service -- same-store service revenues are still growing. Sales are great. Instruments are very strong, software placements, customer retention, record levels. So this is primarily this dynamic, which we think is largely related to the capacity constraint. And that will normalize, I think, as we work through some of these compares and as clinics adapt to this long-term growth in demand that we think will sustain.
Jonathan Mazelsky: Yes. Chris, let me try to address your question from a context standpoint, both from the standpoint of capacity or supply, and then I want to talk a bit about the pet owner dynamics and demand.  So all the surveys and all the conversations we've had with veterinarians indicate a good deal of optimism about the future and it includes 2022 in terms of growth and their prospects. Their focus is really, I think, pivoted. The pandemic has only accelerated the pivot towards being able to provide excellent medical services and patient care, as well as a pleasing client experience. So relatively less emphasis on things like product sales, specialty diets.  They're also seeing, from a pet owner standpoint, demanding clients who really want full-service care. So speaking with a number of veterinarians just yesterday, they remarked when pet owners come in are still looking to really have sort of an end-to-end approach to care. So I talked about that strong pivot. And if anything, the pandemic, I think, has only accelerated that. And they know that the diagnostics plays a key role in being able to guide care services and the whole clinical envelope.  And to Brian's point, at the same time, there's been a very significant step-up in activity, both in terms of number of patients. There's 10-plus percent more pets relative to pre-pandemic, 10-plus percent higher clinical visits. And the practices themselves, they haven't been immune to some of the labor and staff challenges that, to some extent, all businesses are facing. So they're working through that dynamic of higher activity, while trying to create some balance and looking to increase capacity.  And they're looking at us in many respects, and have this large appetite for things like IDEXX instrumentation. We saw that manifest itself in higher sales, cloud-based software solutions. I think it's both indicative of their optimism for the future, and recognizing that if they have better tools that can support both staff productivity and higher standards of care.  Let me pivot and talk a bit about pet owner dynamics, because I think that addresses your question how this is going to play out over time. By all accounts, we think pet owner demand remains very strong. We all know there's a very strong human-animal bond. And by all accounts, all the data we look at, that continues to grow. We also know that, from a spending power standpoint, just as a percent of discretionary spend that they're spending all in on pets across all economic and demographic cohorts, still under 2%. And the medical services piece, much smaller than that.  So pet owners, they consistently indicate not just in surveys, but in actual behavior that they prioritize spend on veterinary care, sometimes even to the extent that about a quarter or so, that they would spend first on their pet before their own health care. But they prioritize consistently across much larger groups relative to things like entertainment and travel and going out to dinner. And that's even more pronounced in the younger generations like Generation Z and Millennials.  So getting back to -- we know there's been a significant number of adoptions to the pandemic, 10-plus percent over the last couple of years. We look at things like surrenders and we don't see any real movement from that baseline. In fact, what the survey say is that first-time pet owners are looking to actually adopt potentially a second pet in some appreciable numbers. From a headwind standpoint, we know there's some overlays, like working from home and companies returning more to a, sort of, a hybrid-type model. But we think that, that still gives the pet owners the flexibility to be able to take their dog or cat to the veterinarian. So we're keeping an eye on these trends. But I think, on a net basis, we think pet-owner demand remains strong.
Operator: [Operator Instructions]. And our next question is from Michael Ryskin from Bank of America.
Michael Ryskin: Jay, Brian, I want to follow up on some of the points that you just touched on sort of the vet demands and what you're seeing in the channel. Just to put it bluntly, you've got -- if you look at the comps, first half last year, second half last year, obviously, the second half comps on that visit growth gets a lot easier. But if you look at it on a 2-year or 3-year basis, it's actually a little bit more normalized. So we can start getting into the math of you doing a 2-year compare, 3-year compare.  But putting all that aside, what is your expectation for vet visit growth over the course of the year? I mean we're at negative 1.5 in the first quarter. There were some Omicron issues in January, but it seems like it didn't dramatically improve over the rest of the quarter. So what's your expectation for vet business growth in 2Q and then over the course of the entire year? And I've got a follow-up.
Brian McKeon: Yes, Mike. So on your first question, we're trying to look at these multiyear dynamics too. I think that's largely right. The one thing I'd point out is that the step-up in the new patients that occurred through the pandemic, there was an incremental aspect to the growth that I think benefited, we think, second half of 2021 into the first half of 2022. So there's a bit of a growth dynamic that's additive to making the first half a little more challenging. But I think on balance, we agree that the multiyear trends look quite good, and that informs some of our optimism.  And in terms of how we're thinking about the year, if you look at the range that we provided, effectively, the higher end of the range assumes that we move back towards a healthy positive growth rate on the clinical visit trends. It's the -- as we noted, the CAG Diagnostic recurring revenue growth for the second half at the higher end reflects our original goals. And so that was what we were seeing coming into the year. And the lower end is more in line with what we're -- we've seen in Q1. So there's some level of pressure year-on-year continues. So we're not explicitly guiding on that metric. But those, I think logically, that's how the full year guidance ends together.
Jonathan Mazelsky: Yes. And I would just add to that, though, clinical visits, it's been an important part of our growth algorithm, but it's just one part. The other thing to keep in mind is the diagnostics adoption and the utilization piece of the business is very strong. We've highlighted that in the earnings highlight where adoption and utilization is at or higher than what we've seen from the pre-pandemic level. So from a customer engagement standpoint, I think we have a pretty well-defined playbook. It's really been honed and optimized over the years to be able to drive and inspire diagnostics adoption and utilization, both through creating awareness and education and ultimately, trialing. But also innovation and continuing to bring innovation that solves the challenging practice and patient problems. So we're optimistic about our ability to continue to do that and do that in an effective way.
Michael Ryskin: Okay. And if I could squeeze in a bigger picture one, hopefully it should be quick. At the Analyst Day last year in August, you guys talked about same strong trends, the same sort of secular drivers. And you pointed to your view of the long-term diagnostic sector growth should be a full percentage point higher than prior because of the higher number of pets, because of the adoption, because of higher sort of diagnostics utilization.  But if we sort of flash forward 6 months or 8 months to where we are now, obviously, we're seeing some near-term constraints. So I just wanted to, longer term, are you still sticking with that diagnostics growth of 1% above historical on a multiyear basis?
Brian McKeon: Yes. Just to revisit, we had a range on the multiyear CAG Diagnostic recurring revenue growth, and we raised the lower end of the range, I think, reflecting our confidence into the range is 11% to 14%. And really what underlies that range, and this underlies our business strategy is our effectiveness as a growing utilization of diagnostics with their customers over time.  And the pre-pandemic improvement levels, as you're aware, Mike, we focused in on this, the percentage of -- the percentage of business that use blood work in diagnostics, and we had been seeing roughly a 50 basis point annual improvement in that metric over time, and that was the pre-pandemic trend. And we saw that accelerate in the pandemic to more like 100 basis points.  So as Jay highlighted, we're continuing to see very nice improvement on diagnostic utilization. So we're very confident in that part of the strategy. That is the part of the strategy that we influence heavily with our innovation and our customer engagement, and we're very confident in our ability on that front. And so nothing's changed in terms of those dimensions.  I think we are working through a period here where we had a big step-up in ownership in pets and demand and through the pandemic, and we're transitioned to growing off this higher base. And we're working through some compares here, but the long-term view of the optimism we have for the business in the long term hasn't changed.
Operator: And our next question is from Erin Wright from Morgan Stanley.
Erin Wright: Great. I'm surprised a little that the vet capacity constraints are such a surprise to you relative to your prior expectations. But you did mention, Brian, at the beginning of your prepared remarks, a macro dynamic as well. And I was just wondering if that comment was in relation to the labor constraints or actually changes in consumer dynamics as well.  And we've obviously seen -- and this goes into a bigger picture question of we've seen your business grow in a challenging economy kind of in the past. And can you remind us the sensitivity of your business to a tougher economic backdrop and what levers you have to grow in even a challenging clinic visit backdrop as well?
Brian McKeon: Yes. Just on -- let me reflect on the comment I made and then Jay can talk more about the resilience of the business. It was specifically related more to Europe. We saw relatively more softness in Europe than we anticipated. And so we're just signaling that it may be related to some of the impacts indirectly from the Ukraine war and higher energy prices and things of that nature. So we -- that it's harder for us to parse that, but it was -- that was what the comment related to.
Jonathan Mazelsky: Yes. Erin, just in terms of the resilience of the business. If you go back to the Great Recession and the recovery in 2008, 2009, our revenue grew 5%. Now a lot has changed over that 10-plus years, and I think from a very positive standpoint.  We worked through other channels, third-party distributor channels. We now have our own direct channel and direct relationships with customers. We know that the human animal bond and the strengthening of the bond has suddenly increased and increased very appreciably. Obviously, there's a lot more pets. And our innovation portfolio, both across the reference labs and our point-of-care diagnostics portfolio, and very importantly, in this environment, software has gotten, I think, appreciably stronger and more capable, not just in the U.S. but globally. So we think we're a very resilient business that has become even more resilient as a result of those factors.
Erin Wright: Okay, great. And then in terms of pricing, where is net price realization shaking out now for the year in terms of what's embedded in the guidance and relative to what you disclosed last quarter? And are there further price increases embedded for the remainder of the year?
Brian McKeon: As I mentioned in our comments our U.S., on average over the overall CAG Diagnostic recurring base was in the 4% to 5% range, so it's a bit better than we had indicated originally, and we've got solid improvements in other markets as well. So I think we feel good about our pricing plans, and that's something we will continue to look at over time.  And I also note that I think vet clinics are showing an ability to pass on pricing as well, and that's reflected in their growth numbers.
Operator: Our next question is from Jon Block from Stifel.
Jonathan Block: Maybe just to start, we also picked up capacity constraints in our checks recently for this quarter. But we actually also had a similar amount, roughly a similar amount of vets start to talk about the demand equation.  And so a pretty direct question here. But for the revised guidance, Jay or Brian, what are your thoughts there? What are you embedding? Is the new guidance all about the capacity constraints, you give those weekend metrics? Or did you also embed some wiggle room or earmark some stuff for the consumer? And what might be occurring or what might still need to play out, call it, into the back part of the year?
Brian McKeon: So we haven't explicitly projected changes in the macro environment in our outlook. What I would say is that we are capturing more recent dynamics, including some of the dynamics that have been going on in regions like Europe, which as we indicated, may have some macro impacts. And they signal, we're anticipating that the growth in the second quarter will be at the lower end of our full year organic growth range of 7.5% to 10%. So I think we are -- we're trying to capture what we believe includes the capacity dynamics, but what macro impacts may be going on into our outlook, and that's also reflected in the full year range that I shared earlier.  So I think it's not something, again, we forecast specifically, Jon, but I think as Jay pointed out, this has been a business that's always been resilient. If anything, over time, the factors that are supporting our demand, whether it be strengthening of the pet owner bond or just improvements in our own capacity as a company to influence growth and support the industry have only grown. So we think that reinforces we'll have -- we'll be relatively well positioned to changes. And we think we're capturing kind of the more recent trends appropriately in the guidance range that we've shared.
Jonathan Block: Got it. Okay, fair enough. And then maybe just a follow-up. And I think you sort of hit on this here and there, but let me try to drill down on a little bit or get an answer. The CAG Dx frequency, you guys give a ton of helpful information. But the CAG Dx frequency or the percent of clinical visits, including diagnostics, that was roughly -- it looks like a 0.5% contributor to revenue growth per practice, call it, pre-COVID. Then it went to 3% in 1Q '21, and then it looks like back to 0.5% in 1Q '22.  Why that move? Why that step down? And then maybe some color, is that a reflection of curb side stepping down as we're normalized and there's no longer the drop-off of the pet and maybe less friction on what the veterinarian wants to test for. Is that why we're seeing that return to normalization? Is that the anticipation going forward?
Jonathan Mazelsky: Yes. Jon, it's Jay. So keep in mind, that's from -- that 0.5%, which is more of the pre-pandemic historical norm is from a much higher base. So we're building off that 3% base that we saw in Q1 of 2021. And so we both look at -- to the extent that clinical visits include diagnostics, we want to be able to continue to grow that, and we have seen nice growth in this year of that higher base, as well as then when they do use it, are they using more from a volume and dollar standpoint. And that's 8%, which includes some price effect there. So we think that is very healthy in terms of how veterinarians see the use of diagnostics as an enabler to the broader medical services envelope.
Brian McKeon: And we're hearing anecdotally that pet owners are more invested and interested in what's going on. So as testing is done, they're interested in expanding the scope of services for those owners that are bringing their pets in. So I think the metrics that we're showing here, building off the higher base are reinforcing them.
Jonathan Mazelsky: Yes. Just specifically around your comment relative to curb side, drop off and pick up. We see practices even though we've, I think, transitioned from the pandemic to the endemic business, continue that in -- I mean it's in the minority of cases probably 15-plus -- they like that from the standpoint of supporting the productivity of the practice, a lot of pet owners like that.  I think practices have adopted some level of concierge service around that type of thing. So I don't think that, that's going to go away. It will probably continue to remain a smaller part of that whole. Certainly, it's a step down from sort of the peak of the pandemic, but it's still there to some extent.
Operator: And our next question is from Nathan Rich from Goldman Sachs.
Nathan Rich: Maybe the first one on just the margin outlook. Brian, I think if I'm moving -- or looking at the moving pieces correctly, it seems like the core kind of constant currency margin is maybe down 30 basis points relative to what you initially expected. I mean, is that just a function of the lower CAG Dx growth expectation and the deleverage there?  And I guess, kind of as we think into next year and what might come back, I mean if you see a return to normalized CAG Dx growth in '23, do you see -- do you get back any of that, the lower margin, I guess, that you might realize this year, does that come back next year? And then I just wanted to clarify, do we sort of get the -- or do we lap the kind of R&D expense in 2023 and so you kind of get that impact back next year?
Brian McKeon: Right. On the last point, yes, we view that as a discrete investment that will not occur in 2023. We're not projecting that. So that will be a favorable year-on-year, and we try to provide that specific impact, so you can calibrate for that.  I think your interpretation is right, Nate, that the -- we originally had an outlook this year, clearing away currency and the discrete R&D impact of a 50 to 100 basis point improvement. As you know, that's our long-term goal. We've been doing relatively better than that over time.  It did factor in. We do have inflationary impacts that we're working through this year and some returning costs, things like travel. And we had advanced expansions of our sales organizations internationally in the second half of last year and into early this year. And so it started with a level of growth in costs that we were working to cover through our growth as we always do, while delivering good profit performance. So the 3% calibration in the growth rate is moderating that.  I think that's an appropriate kind of flow through as we pull back a bit on the expected growth. And I think your question is, does that come back? It's not that it is going away, it's can we grow off of that and produce good margin expansion over time? And we believe, absolutely we can. We're committed to our long-term goals and believe we have a really good business model to be able to support that.
Nathan Rich: Okay, great. And if I could just ask a quick follow-up, and I know this has kind of been touched on throughout the call. But what are you seeing the industry do to adapt these capacity challenges? And from your standpoint, is it more a staffing issue? Just, maybe some -- hire kind of out of offices during Omicron. Is it issues with getting kind of vet tax? Or is it more of a clinic or kind of vet capacity issue that might take a little bit longer to play out and solve? I'd just be curious, Jay and Brian, to get some additional thoughts that you have around that.
Jonathan Mazelsky: Nathan, I think it's a bit of all of the above. From the standpoint of -- so there's clearly a much higher level of activity that they're adapting to and we've talked about the staff shortages. And I think there are some staff out, just related COVID even though it's not resulting in hospitalizations. Normally when people get COVID, they have to spend some time at home.  But there's a number of, I think, proactive things that practices are doing, including investing in technology. We see just a very significant appetite for software and the productivity that the software can deliver, both from the standpoint of staff productivity as well as really being able to enable standard of care. And our solutions, whether it's the ezyVet solution or clinical decision support because that's part VetConnect PLUS is an important part of that.  Also instrumentation and the growth that we're seeing in premium instrumentation, it's really -- it's been very significant, 31% increase in growth in placements, 14% increase in our premium installed base. I think that's reflective of practice owners and veterinarians recognizing that they need to have the latest technology.  In other cases, I think practices are looking at staffing mix and staffing formulas and recognizing that they can increase the number of vet techs and in some cases, non-licensed vet techs, at higher ratios than they have right now, and that can generate higher revenues, they had higher pet owner client support relative to their current baselines. So really looking at a broad range of practices to be able to increase capacity.
Operator: Our next question is from Balaji Prasad from Barclays.
Balaji Prasad: Thanks, for squeezing me in. So it's kind of an extension of the previous question versus what the veterinary industry can do. I'm curious to see what these challenges mean in terms of capacity constraints for you in terms of the opportunity that it opens up in workflow solutions addressing anything else, both near term and longer term in helping your customers.  And secondly, I just wanted to clarify again on the R&D cost front. Will this mean that your EBIT margin expansion should be back on track from 2023 onwards?
Jonathan Mazelsky: Yes. So I'll talk about this, the opportunity. In addition to what I mentioned from a software in a clinic standpoint, our reference laboratory solutions, testing solutions platform really serve as an extension of the practice. So insofar as practices maybe get strained or they want to send out testing and even our medical services.  So we have a very large group of pathologists and boarded some radiologists and internal medicine specialists, they can do that. So we think that, that is a net positive in terms of being able to support the practices and continues to open up opportunity to that effect.
Brian McKeon: And on the R&D question, the $80 million investment that we highlighted that will come through our second quarter results, we view as discrete and nonrecurring. And we are maintaining our long-term goals for operating margin expansion.
Jonathan Mazelsky: Okay. And with that, I'd like to thank everybody on the phone for their participation this morning and to the IDEXX employees listening. I'd like to say thank you for your continued devotion to our purpose and enduring focus on delivering today. Your unwavering support and engagement enable us to continuously execute at a very high level and support our customers despite unpredictable and evolving dynamics in our sector and around the world. We're thankful for your excellent efforts and look forward to continuing our strong momentum through the rest of '22. And so with that, we'll conclude the call, and thank you.
Operator: Thank you, ladies and gentlemen. That concludes today's conference. Thank you for participating, and you may now disconnect.